Greg Falesnik: Thank you for standing by. Welcome to the Arcimoto, Inc. Third Quarter 2018 Earnings Webcast. During today's presentation, all parties will be in a listen-only mode. This conference is being recorded today, November 16, 2018 and the press release accompanying this webcast was issued at the close of market today. At this time, we will now play a brief corporate update review. Over to you, Mark.
Mark Frohnmayer : Thanks, Greg. Every quarter, we do an update video. This was a little bit different. So, here we go. [Audio/Video Presentation] Arcimoto’s mission is to help catalyze the shift to a sustainable transportation system. We started 11 years ago on a quest to find the sweet spot for next generation daily mobility. Over eight generations of product development, we invented the Fun Utility Vehicle, an incredibly efficient, affordable joyful electric ride, suitable for a wide range of driving experiences. We went public on NASDAQ on September 27th to finalize the development of the FUV and begin Arcimoto’s transformation from an R&D prototyping shop into an advanced vehicle production and distribution venture. The third quarter saw us accelerate virtually every facet of operations. We achieved production of 15 Beta FUVs. Our end-to-end part manufacturing capabilities are now on line and we've identified opportunities for improvement in nearly every aspect of the products, in terms of quality, drive train performance, battery assembly and longevity, suspension, ride and feel, steering, ergonomics, visibility and aesthetics. We opened Arcimoto's first rental outlet in order to dial in procedures, test out systems and software, and garner perspective rental customer feedback. The experience of our early clients gives us added confidence that our rental first go-to-market strategy will allow for our customers to truly experience the joy of the FUV in a cost efficient manner for Arcimoto. The final milestones for product completion have come into clear focus. In the next six weeks, we plan to build six more test vehicles, three to validate our new production mechanical design and three to validate the significant improvements made in the vehicle’s electrical system. The Series A-2 prototypes, planned for January, signify our first release candidates with first retail customer deliveries targeted for Q1. It anticipation, we’ve begun to ramp-up our marketing efforts with a nationwide tour. And the response has been incredibly positive. Driven by word of mouth and direct experience, our pre-order reservation count continues decline. The proceeds of our first public offering allowed us to build out a factory, refine an awesome product and share the automotive vision within ever wider audience of drivers. With our S-3 shelf facility now effective and with regional production just around the corner, we believe now is the time to take the next step. Our first direct offering to shareholders since we listed on NASDAQ last year is now open. I founded Arcimoto to help solve the fundamental problem of sustainable daily mobility. Along the way, we've been powered by a community of investors and stakeholders committed to bringing this vision to life. Please join us as we bring Arcimoto to the world.
Greg Falesnik: Because we've opened a public round, we've been advised by counsel not to conduct our customer Q&A, or provide additional details on the quarter beyond what can be found in our 10-Q, earnings release and offering materials, as such communications would be considered free writing prospectus which we would not be able to timely file with the SEC. In light of this, Arcimoto management will be available for one-on-one sessions with any interested parties between the close of this call and the end of the weekend. Please use the interest form on the investors.arcimoto.com website to request a call. Thank you for signing on and for your continued support, Arcimoto.